Operator: Good morning. And welcome to the Triumph Group Second Quarter Fiscal 2025 Earnings Call. All participants will be in listen-only mode. After today's presentation, there will be an opportunity to ask questions [Operator Instructions]. Please note this event is being recorded. I would now like to turn the conference over to Tom Quigley, Vice President of Investor Relations. Please go ahead.
Tom Quigley: Thank you. Good morning. And welcome to our second quarter fiscal 2025 earnings call. Today, I'm joined by Dan Crowley, the company's Chairman, President and CEO; and Jim McCabe, Senior Vice President, CFO of Triumph. As we review the financial results for the quarter, please refer to the presentation posted on our Web site this morning. We will discuss our adjusted results. Our adjustments and any reconciliation of non-GAAP financial measures to comparable GAAP measures are explained in the earnings press release and in the presentation. Certain statements on this call constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These forward-looking statements involve known and unknown risks, uncertainties and other factors, which may cause Triumph's actual results, performance or achievements to be materially different from any expected future results, performance or achievements expressed or implied in the forward-looking statements. Dan, I'll turn it over to you.
Dan Crowley: Thanks, Tom. And welcome to Triumph's second quarter call. Turning to Slide 3, we had a very good second quarter, capping a solid first half. This sets the stage for an even stronger second half, driven by favorable seasonality and operating leverage. Four key highlights from the quarter include, strong cash performance and working capital management. We exceeded our cash guidance by $35 million in the quarter and derisked our full year free cash flow target. We remain committed to delivering positive cash flow for the year. Secondly, we accelerated aftermarket growth. Leasing expert AerCap expects this trend to continue through at least 2030 as older aircraft return to service, the legacy fleet is extended and the next generation fleet enters its heavy maintenance cycles. We restored our interiors business to profitability in Q2 through a settlement with Boeing and deep cost reductions to rightsize the business. These actions put our interiors business on track to achieve higher historical levels of profitability as commercial OEM volumes return. Operational excellence improved across all four of our operating companies, results are better than last year. This led to year-over-year sales growth as we mark our 10th consecutive quarter of organic growth. This progress enables us to raise our fiscal '25 guidance for both profitability and cash flow consistent with the multiyear guidance we updated in May of 2024, which Jim will detail. Turning to Slide 4. You can see that aftermarket grew substantially in the quarter, surging 13% year-over-year and contributing over 60% of our profit based on strong spares and repairs from our systems and support segment across both commercial and military end markets. This more than offset commercial OEM softness. The aftermarket deliveries on the CH-47 Chinook in Q2 were particularly strong, reflecting the importance of improving fleet readiness in an uncertain geopolitical environment. Notably, we shipped 46 ship sets of T-55 engine FADECs on the Chinook as part of our first wave of a five year IDIQ program. The program will result in the upgrade of the entire T-55 fleet at a rate of approximately 200 units per year totaling more than $250 million for the entire upgrade program. Commercial aftermarket growth was 34%, driven by the rising average fleet age. Commercial aftermarket sales in the quarter included 787 landing gear actuation spares and repairs from our Yakima site, which will benefit from a multidecade stream of higher margin 787 spares and repairs. Triumph generated gross margins of 57% in the aftermarket segment. We expect aftermarket revenue to grow due to the shortage of new aircraft entering the fleet and the emerging 787 landing gear overhaul cycle. As legacy aircraft like the 737NG are extended to fill the slots created by delays in new aircraft deliveries, our spares and repair businesses are well positioned to support the demand. Our military aftermarket sales benefited from the CH-47 spares and repairs, which carry strong margins in both production and aftermarket helping to offset the short term declines in the V-22 actuators overhaul due to temporary flight restrictions on the Osprey fleet. Triumph closed a small IP sale for an end of life military program in Q2 as we continue to fine-tune our product and services portfolio. While backlog growth and quick turn MRO is not typical, Triumph's total aftermarket backlog worth approximately $100 million is up 12% from the fiscal year end. This was made possible by significant orders for spares and repairs orders on the 787 landing gear program. Turning to our OEM results. Military OEM revenues were up across several of the programs in the fiscal second quarter. These sales represented over 20% of our total revenue and contributed a similar amount to our profitability. Military backlog grew 4% in the first half. Highlights for the quarter included multiple wins on the GE F110 derivative engine for new fuel pump and actuator products and $7 million in new orders for the Global Hawk and Triton gearboxes and $4 million overhaul AWACS radome gearboxes. Befitting our status is the largest independent provider of aerospace gearboxes, Triumph has five new gearboxes that are transitioning to production, including an aircraft mounted accessory drive for the T-7A Red Hawk. And after these gearboxes enter service, they will begin to drive new spares and repairs activities. Commercial OEM revenues included sales across more than 30 different programs for rotorcraft, regional jets, business jets and commercial fixed wing platforms, well beyond the Airbus and Boeing narrowbody programs. This end market contributes 40% to our total sales but only 13% of the company's total profitability in the second quarter. Margin upside potential exists as the market recovers based on operating leverage. The profit in our commercial OEM end market increased over 60% from the prior year due to overall improved pricing, as well as increased volumes for the 787. We expect this trend will continue as we secure further pricing and the 787 ramps. In addition, Airbus announced aggressive build rates and they are a top three customer for Triumph. In the commercial OEM end market, we are a supplier on the 737 MAX, the 767 and the 777 programs, which represented just 5% of total sales for the quarter. While our backlog on these Boeing programs declined $60 million since March due to selected push-outs of deliveries beyond 24 months, total backlog for these three programs remains high at $350 million. Now that Boeing workers are returning to work, we expect growth from Boeing to begin. We continue to make deliveries to Boeing Commercial at reduced levels consistent with their portal demand. And backlog on all other commercial OEM programs has increased almost $40 million, providing alternative production backfill during this period. Overall, there's a lot to be excited about this quarter as Triumph's four operating companies are firing on all cylinders. Our growing aftermarket segment is benefiting our systems electronics and controls and actuation products and services operating companies. GE LEAP orders are stable and we are transitioning new gearbox programs into production. And we've reached a positive inflection point within our Interiors business because of cost reductions, including reduced labor costs from over 700 job cuts and contract relief, including a favorable commercial resolution with Boeing. This commercial resolution will bring the Interior's profitability and cash flow in line with or above our full year expectations. I'd like to touch on our continued efforts to modernize and upgrade our production capabilities in support of our new product technology plan. Prime's investments in new development labs and test facilities, upgraded machinery and equipment and enhanced IT systems will enable us to deliver on our commitments and engage our customers to solve their most difficult challenges. On Slide 5, we highlight one of our strategic investments, our new Thermal Solutions Development Center in West Hartford, Connecticut, which officially opened on October 15th. Recall Triumph acquired Fairchild's Controls from Airbus Defense and Space in 2015 and moved the business from Maryland to West Hartford, Connecticut, leading to cost and efficiency improvements, which have helped boost our systems and electronics controls business results. With the establishment of our new thermal product center, we are responding to emerging requirements from our military customers for both new applications and upgrade programs in special mission pods, high power electronics and environmental control systems. I want to thank Governor Ned Lamont of Connecticut and the state's congressional delegation for their support of this project, without which this facility would not exist today. Importantly, the facility's upgraded electrical power system enables us to test high power pumps and thermal compressors. This will help us bring high capacity vapor cycle cooling systems to market that will enhance our OEM and aftermarket results. Case in point, the Thermal Lab will begin testing a new high capacity thermal compressor for Lockheed Martin in Q3 and has strong interest from other OEMs. Interest in solutions to address expanding cooling and heat transfer needs has never been higher, including in support of IT data centers. West Hartford's cyber enabled modular processing system will be the basis for an expanding range of electronic control products and applications. We look forward to providing announcements on this in the future. Our gears business is developing a family of engine and aircraft mounted accessory gearboxes, which will be flown on the T-7A, which just flew their first production gearbox in the quarter. Congratulations to the Korean KF-21 team, which received their first order for 20 aircraft in June. With the first aircraft to be delivered in 2026, Triumph is currently working to fill those orders, of which there will be two AMADs per aircraft. Our actuation business is delivering new smart uplocks to Airbus with embedded sensors to ensure positive up and down lock. Through Q2, we grew backlog 20% in support of this program. To sum up, our focus on organic growth by expanding our solutions in addressable markets is driving our financial progress towards the targets we set during our September 23 Investor Day. As noted on Slide 6, total backlog continues to rise, up 7% year-over-year to $1.9 billion, as military and other commercial platform growth offset the push out of narrowbody orders. On the repair side of the business, we were awarded a five year spares contract for a C5 main landing gear door actuator and a V22 Pylon Conversion Actuator MRO package for fiscal ‘26. We are also benefiting from our classified program gearboxes, 787 Composite ECS Ducting, Safran Electronic engine controls and Anduril's engine driven hydraulic pumps, as well as the GE F110 derivative main engine fuel pump for the F-15 EX. Growth across all our markets, especially in aftermarket is encouraging and gives us confidence in our long range targets. I want to acknowledge all the dedicated team members at Triumph who make this progress possible. Their work has positioned the company to capitalize on strong demand across a diversified customer base and end markets as we continue to gain share with our new products, MRO services and takeaways. Their engagement, performance and commitment to continuous improvement underpin Triumph's success. Jim will now review our financial results.
Jim McCabe: Thanks, Dan. And good morning, everyone. Q2 results exceeded our expectations. Our strong performance was driven by double digit growth in commercial aftermarket revenue coupled with lower costs and higher prices in interiors. The most significant development in the quarter is the interiors settlement, which has contributed to restoring that segment to profitability. We took the necessary cost actions to rightsize our capacity and we settled with our customer on equitable adjustments for the year. Interiors is profitable again. Importantly, throughout this process, interiors has continued to maintain its very high level of product quality and on time delivery. Let's start with our excellent consolidated second quarter results on Slide 7. Every financial measure is higher than last year and it is all organic growth. As Dan mentioned, 13% growth in aftermarket revenue more than offset the temporary OEM revenue headwinds, yielding a net increase to consolidated revenue over last year to $287 million. Adjusted operating income of $36 million is up $11 million or 44%. Adjusted operating margin of 11% expanded 338 basis points over 8% last year. Adjusted EBITDA of $43 million increased $9 million or 26% and adjusted EBITDA margin of 15% expanded about 300 basis points over 12% last year. Now you might be wondering if OEM demand is down how is Triumph accelerating its profitable growth. Majority of Triumph's profit comes from the sale of its spares and repairs to the growing aftermarket. But didn't Triumph sell its aftermarket business? No. Triumph did not sell its aftermarket business. Triumph sold the third party aftermarket business, which was focused on the repair of other company's parts. We've been able to turn our focus to our own proprietary aftermarket spares and repairs business. The timing could not have been better in this regard. Our aftermarket business represents 33% of Triumph sales in the quarter, up from 29% of sales last year. Triumph's aftermarket revenue, while only a third of total revenue, delivered 61% of our profit in the quarter. Our growing installed base of proprietary products drives our profitable aftermarket growth, presents upgrade opportunities and enhances our content on next generation platforms. We expect this current strong commercial aftermarket demand to continue for years to come. The $4 million non-GAAP adjustment this quarter is part of our restructuring, primarily to reduce cost in Interiors. Now we'll look at our Q2 commercial revenue on Slide 8. Commercial aftermarket revenue was up about $10 million or 26%, largely on spares and repairs across the Boeing commercial platforms. The bow wave of 787 landing gear overhauls is just beginning and evident in the growth in the quarter. Commercial OEM revenue of $119 million included increases from 787 volumes, which were tempered by lower revenue from 737 MAX and other platforms. Now that Boeing workers are returning to work, we expect improvements in our Boeing OEM business. In addition, Airbus announced aggressive build rate ramps on both narrowbody and widebody models. Shown on slide 9 is our Q2 military revenue. Military aftermarket revenue of $44 million was about the same as Q2 last year. Spares and repairs on CH-47 and AH-64 programs, as well as an IP sale of about $5 million were offset by lower V-22 aftermarket sales. Our aftermarket sales are important to maintaining fleet readiness and the T55 engine FADEC upgrade program will support this end market for the next several years. Military OEM revenue was $64 million in Q2, a $3 million increase over the prior year as volumes on CH-53K, CH-47, AH-64 and F-35 programs offset expected decreases on V-22 production rates. The diverse set of programs in this end market span the aircraft lifecycle and provide predictable margins and cash. As seen on Slide 10, our cash flow was better than we guided by about $35 million due to stronger than expected commercial aftermarket revenue. For Q2, we build up our working capital and had free cash use of $45 million. This included a $42 million semiannual interest payment and $6 million of capital expenditures. This cash use in the quarter is, of course, driven by the timing of the interest payment but also by seasonally higher working capital, timing of OEM rate ramps and supply chain challenges, all of which are improving in the second half. Our interest payment is $27 million lower than last year due to the significant debt reduction since then. Additionally, in Q1, we redeemed $120 million of the first lien 9% 2028 notes, reducing them to $959 million. That led to the credit upgrades from both Moody's and S&P that we reported early in the quarter. On Slide 11 is our net debt and liquidity. At the end of the quarter, net debt was $868 million, that’s $644 million were 43% lower than Q2 last year. Our leverage is now down to 5.5 times or 2.8 turns less than 8.3 times last year. Liquidity totaled $148 million, including $105 million of cash and is sufficient for our planned working capital needs. As a reminder, our combined debt reduction across fiscal '24 and '25 year-to-date will yield $55 million of annual interest savings, and our remaining notes are not due until 2028. Moving to Slide 12. Let's discuss the increase in our FY25 guidance. We're increasing both our earnings and cash flow guidance based on the continuing strength of our aftermarket sales, the cost reductions and commercial resolution and interiors, none of the temporary near term commercial OEM headwinds. We continue to expect net sales of approximately $1.2 billion. We've increased our EBITDA estimate from $182 million to a range of $190 million to $195 million for an EBITDA margin of 16% that's up about 400 basis points compared to 12% last year. We've also increased our free cash flow estimate and now expect $20 million to $30 million of cash generation in FY25. Looking ahead to the second half, in addition to normal seasonality, we anticipate increased sales and margin compared to last year from our continued strong aftermarket demand and greater contribution from the $75 million of incremental pricing we planned for and have already exceeded for the year. Free cash flow in the third quarter is expected to be positive, supported by improving margins and partially offset by working capital timing due to temporary OEM headwinds. We also forecast rapid working capital burn-off in the fourth fiscal quarter consistent with our full year free cash flow guidance and the prior year trend. In summary, our second quarter results exceeded our expectations. Revenue, operating income, EBITDA and cash flow all improved over the prior year. Interiors has returned to profitability and commercial aftermarket demand remains strong, all leading to the raise in our FY25 earnings and cash flow guidance. Now I'll turn the call back to Dan. Dan?
Dan Crowley: Thanks, Jim. Overall, we had a solid first half that positions us to exceed our fiscal '25 objectives and stay on the trajectory we shared at our Investor Day 14 months ago. The actions we've taken to strengthen our balance sheet, streamline our business and focus our product portfolio position Triumph to deliver enhanced value for our shareholders. Triumph has become an aftermarket driven company that benefits from a robust inventory of IP based products. The strength of the aftermarket demand is more than offsetting short term softness in some commercial programs. Along with the improvement in the aftermarket, the increasing contribution of our negotiated price ups and our seasonally strong second half give us confidence in achieving the updated outlook. Our team remains excited about our new facilities and products for future aircraft and engines and look forward to playing a key role on the next-gen fleets. We're happy to answer any questions you have.
Operator: [Operator Instructions] And our first question comes from Sheila Kahyaoglu from Jefferies.
Sheila Kahyaoglu: I wanted to focus in on the guidance and just the raise because it seems like you have a lot of confidence, and Dan, you just mentioned sequentially better second half. But you did raise EBITDA -- adjusted EBITDA to imply 20% margins in the second half, up from 15% in Q2 despite the two onetimers. So how do we think about the drivers of that profitability, how much does the slowing contract reset help?
Jim McCabe: I'll start, and Dan can add in. The settlement with Boeing is important to interiors, and you can see that as a separate segment and it's just a resolution of changes in costs that we had rights to negotiate and achieved. So it's been a long time coming. We've been working on it for a while and we're happy to put that in place but the aftermarket is really the story here. And that's why I did ask myself a question or two, because I've been getting that question a lot from people who forgot that we didn't sell our own aftermarket. And it's very important because the aftermarket of our products, we get all the spares because they're proprietary. And right now, the aftermarket demand is solid, double digit growth and it's -- there's no end in sight for it. So it's not -- it's only 33% of our sales and 61% of our profit in the quarter. So I think it's the unheard story that people need to pay attention to is the strength of the installed base and the aftermarket and the spares it drives, and that's what's driving the profitability in the second half as well.
Sheila Kahyaoglu: Then maybe can I just ask on cash, it's possible that free cash flow guidance was raised by $8 million, but it still seems like a pretty steep climb, $180 million implied, I believe, in the second half. So how do we think about the moving pieces of working capital that are helpful there?
Jim McCabe: And you know that cyclicality historically has been very strong fourth quarter, and it's no change this year. The cash use is primarily building working capital in the first half of the year and we forecast to be cash positive in the second half, but the majority of that cash coming in the fourth quarter. It's bolstered by the increase in profitability from the equitable adjustment we got in interiors and from the strong aftermarket, which has quick turns on collecting cash.
Dan Crowley: Sheila, I'll just add in the 140 days we have left in the year, we don't have to win any new work to hit those numbers. We have it all in backlog, it's all in flow. The parts that are either on hand or in the pipeline. And every operating company in every site knows exactly what they have to ship by the end of the year. So it is -- it's a steep climb, it always is. This one is not materially higher than prior year. So we're confident we can do it.
Operator: The next question comes from David Strauss from Barclays.
David Strauss: With regard to the equitable adjustment on interiors, was there a onetime adjustment in the quarter? And then what is the prospect, I guess, the pricing adjustment that you offer this year, what's the potential for that to extend beyond this year?
Jim McCabe: Without getting into details of customer contracts, there's provisions for big changes in volume and extraordinary inflation. So those are negotiated and settled on a regular basis. The one right now is settling in for this year but that's something going forward as volumes and inflation changes that we would renegotiate.
David Strauss: I think you also have some -- go ahead [Multiple Speakers] I was just going to ask a follow-up there on -- with Airbus, I think you also have a fair amount of business on the interiors side. Has there been any sort of adjustment with Airbus or are you talking Airbus about any adjustments there?
Dan Crowley: We are talking to them because some of the same inflationary impacts that Jim mentioned or the use of directed sources for the input materials where you really can't compete the work and prices have gone up at the lower tiers we have discussions on equitable adjustments. And both discussions, Boeing and Airbus are very much joint problem solving. They're not in denial that these kind of inflationary impacts are happening. They certainly want to substantiate it. In fact, Jim and I met the Boeing team down in Mexico last May to review the operations and they were impressed with the operations. Our interiors business performs very well, on-time delivery, quality. They're one of the few sites -- factories that can do high volume, high mix production. So the issue is not performance, it's really the external cost that hit those businesses for both Boeing and Airbus. So yes, we reached agreement with Boeing in the quarter and we're in discussions with Airbus as well.
David Strauss: I want -- one quick follow-up. You talked about reiterating the Investor Day targets, I believe, but those were given prior, I believe, to the sale of product support. So could you just remind us, at least from a EBITDA margin perspective and maybe free cash flow margin perspective, what exactly the targets are now?
Jim McCabe: And we update those when we gave our guidance for this year back in May to exclude the product support business that was divested. And so I would refer you back to that but I believe it should have been over 20% margin in the terminal year and the free cash flow conversion. So it was approaching 10%.
Operator: The next question comes from Michael Ciarmoli from Truist.
Michael Ciarmoli: Just maybe back to Sheila's question. I guess the underlying second half EBITDA margins implied are about 20%. You've never done that run rate before. And I guess if I try to maybe unpack the margins, it seems like the underlying OEM have been bouncing between maybe [4% and 8%]. So is the bulk of the margin lift really coming from the OEM margins improving on just the settlement? And then maybe a third question in there, what are your underlying production rates? I mean there's still definitely some supply chain pressures out there. So maybe just a little bit more color.
Jim McCabe: So mix is a big part of it, because we have a higher mix of the aftermarket, which is higher margin, but the margins are up year-over-year expected to be primarily driven by mix. But certainly, the [indiscernible] adjustment is helping in the interiors segment as well.
Michael Ciarmoli: I mean does the -- just to follow up on that, the aftermarket, I mean, do you guys envision the growth accelerating from here? It looked like the revenues were actually flat sequentially on the commercial side…
Jim McCabe: So in the aftermarket, too, I guess I would make sure you remember that the 787 bow wave is happening, so we're seeing much more of the repairs on 787 landing gear components and spares, that's going to help, too.
Operator: The next question comes from Seth Seifman from JP Morgan.
Seth Seifman: So just wanted to kind of level set now in interiors, in terms of what we saw in the quarter in terms of sales and EBITDA and how we can think about this going forward? We should -- should we expect interiors to be kind of profitable in this kind of single digit million range on a go forward basis? And also just in terms of the sales, I think, I recall last quarter that last year, you guys have been delivering ahead of where Boeing was producing. And obviously, the rates have decelerated since then. And so should we expect -- where do we expect revenue to go in interiors off of the $38 million in the second quarter?
Dan Crowley: So we had a relook at our multiyear forecast for the whole business and we increased what systems, electronics and controls is going to contribute, both on OEM and aftermarket. And we reduced interiors, because we just decided to be more conservative for the reasons that you mentioned, which is they have some buffer stock and the rates are depressed in the short term. But what we did in the quarter that's meaningful is that we rightsized the business to reflect the true demand. So about 2,000 employees was reduced to about 1,200 in the quarter. Secondly, we consolidated it with management wise with our gears business, so we had savings on the SG&A side. And then the Boeing settlement was huge. I mean I flew to Seattle, I met with all the senior leaders. We discussed the rights that we're entitled to under the contract related to inflationary impacts. And Boeing was very reasonable in our discussions. Certainly, they're interested in maintaining the workforce there. When they're at rate, these factories produce million blankets a year and tens of thousands of composite ducting, so it's a key supplier to Boeing. In the short term, the rates are down. You asked about the margins. The second half of the year is going to be definitely profitable now with the price relief. The full year is going to be around 6% EBITDA margins in interiors. And then year-over-year, we will certainly get back to double digits. But we've assumed both double digit margins and dollars of EBITDA over our fiscal '26 to '29 long term plan. And we'll update that as Boeing burns off its on hand inventory and steps the rates up.
Seth Seifman: And then just on the aftermarket, just seeing 787 up over 200%, some nice increases on 777 and NG as well. I guess -- but the overall aftermarket growth was 25%. And so are there pieces -- are there other pieces of the aftermarket -- significant piece of the aftermarket that are down year-on-year?
Jim McCabe: So -- and there are certain programs in the aftermarket that are near end of life or that have temporary pauses like the V-22, kind of the military [indiscernible] [Spirits] were flat. But the ones that you highlighted are some of the key drivers for the growth is 787, 777 NG. So -- and overall, the market is growing at double digits and we see that continuing for not only quarters but years to come. And the V-22 is mostly due to the temporary flight restriction limiting, the use of the aircraft following the crash unrelated to our products. So we expect that aftermarket to come back in time.
Operator: The next question comes from Ronald Epstein from Bank of America.
Mariana Mora: This is Mariana Perez Mora on for Ron today. So I wanted to ask a question about like future portfolio shaping strategy. Are there any assets that remain to be divested that are meaningful enough or how should we think about that going forward?
Dan Crowley: So no, we're not actively seeking to sell any of our operating companies or our sites. We've arrived at the future state portfolio we want, certainly getting interiors back up to volume is going to help on that business. But the core value, as Jim noted, is driven out of our [indiscernible] [SEC] and APS business predominantly aftermarket. So we're very happy with what we have there. These are both businesses that are growing organically, very nice year-over-year and that's where our CapEx investment is going as well. So the big value lever is in those two businesses. We also expect gears to improve. Right now, gears is running about 10%. But there's four or five development programs I mentioned that as those transition to production margins and gears will pick up as well. What we are doing is if there's any sort of end-of-life programs that we don't see meaningful aftermarket flow on, we'll monetize those. But that's a very small contributor to our financials.
Jim McCabe: And of course, our leverage is now down to 5.5 times and we have strong cash and liquidity. So there's no need to do any kind of divestiture for that reason. We took advantage of the third party aftermarket opportunity to delever more rapidly than we even planned at our prior Investor Day.
Mariana Mora: And then my follow-up is on the commercial OE. You mentioned the inventories and Boeing ongoing through -- like burning off inventories was critical for them to start ramping up, their demand of your products. Do you have any sense of how much inventories do they have on your parts?
Dan Crowley: We do. It varies by product across actuation. The inventories are lower, interiors is a little bit higher. And what Boeing did is when they went into the production pause and then they went through a period where they were doing a temporary ship hold, they had time to go in an inventory all their on-hand inventory and they began to share that information with us, but it didn't lead to a production stop in our factories because Boeing doesn't want that. They know that restarting a line has all kinds of consequences of lost learning, soft tooth and the learning curve and the trading of key skills. So we continue to produce, albeit at low rates in those plants. And what Boeing is going to do is they're going to update their portals over the next several months as they finalize their ramp to 38 a month next year sometime. And they'll let us feather in new production with the burn off of the inventory. So we're not concerned about it. I'll remind you that the total impact of all the Boeing production pauses and strikes and the temporary shipment holes for Triumph for the full year is only 5% of sales. So we've done a lot to diversify our customer base and platforms. And I think there was a lot of speculation about deep impacts to Triumph because of this, it's not the case at all.
Operator: The next question comes from Cai von Rumohr from TD Cowen.
Cai von Rumohr: So did I hear you say 6% adjusted EBITDA margins for interiors, because that would imply mid- to high teens margins in the second half?
Dan Crowley: Yes, that's right. In the 5% to 6% range for the full year. And we just took a lot of expenses out of that business and we're going to see the benefit of those in the second half of this year.
Cai von Rumohr: And then if I look at the pattern last year, your aftermarket was down sequentially in both commercial and military. A fair amount in the third quarter and then it spiked up in the fourth quarter. Should we expect that similar type of pattern this year?
Dan Crowley: So in absolute dollars, there's going to continue to be growth similar to the year-over-year growth last year. I think because OEM is coming back that may moderate that as a percentage of sales. But both are going to be positive for fourth quarter and that's going to be our strongest quarter again this year.
Cai von Rumohr: But will they be up down sequentially as they were last year?
Dan Crowley: We don't anticipate that. One thing that's different about this year from last year is last year, I think people were still doing fleet planning based on receipt of new aircraft and now they've sort of given up on that. and they recommitted to the legacy fleet. In fact, they've been bringing aircraft out of storage into the fleet and having to spend money to bring them up to date. So I think part of the difference year-over-year is that people are relying on these legacy aircraft more than they were a year ago.
Operator: [Operator Instructions] Our next question comes from Myles Walton from Wolfe Research.
Myles Walton: Dan, there was reports of Triumph exploring strategic options. I was hoping you could elaborate on the extent of those alternatives being looked at maybe any decision, timing that you're thinking about?
Dan Crowley: We can't really control the rumors that are out there and we don't comment on them. I take this kind of coverage as a compliment. We read the same articles that you did. To me, it's a testament to the success of all the hard work that Jim and I and the leadership team, the workforce has been doing and the progress we've made. What I can say is that my team and I remain committed to creating shareholder value and building all the success we've had, we've now achieved pure like profitability. I remember when we were running 6% EBITDA margins and we've set a goal for 16, which was the peer average at the time and we're now hitting that number this year and we're not done. All the profit you see kicking in from price negotiations, people forever want to know, are you getting price and when are we going to see it? Well, you're seeing it in fiscal '25 and that will continue in the years ahead. Our backlog is growing, our balance sheet is stronger and all those things, I think fuel rumors, speculation about will Triumph be acquired. So what I really like investors to take away from our results is that we're in a really good position of strength and we've weathered the issues with Boeing as a partner with them during the last year. We're an attractive supplier in a growing market, a lot of folks do speculate this will be the start of another super cycle. We've got a huge installed base, we've got a robust aftermarket sales and we've got a great IP based product line -- pipeline of products. In fact, after I finish this call today, we're going to do two days of strat planning review. So we're focused on the future. We feel like we've got a great runway for the business over the next several years and we're just going to continue to drive value in whatever form that takes.
Myles Walton: And Dan, you commented on geared solutions. I think you mentioned management combination with interiors for cost reduction efforts. I'm curious, under the surface within geared solutions as a business, I know you've had to deal with the V-22 production declines. And then I'm curious also about the LEAP gearbox production given the LEAP volumes, obviously, have been low. Is that business poised for a significant inflection, have you troughed on V-22 and what does your LEAP output look like?
Dan Crowley: So gears has been a labor of love for me for the last several years. We cleaned up a number of development programs that they had. Those are now going to be the foundation for several new franchises in support of aircraft mounted accessory drives. We're on the V-21, we're on C-7A, we're on KF-21. So although it was painful in terms of margins, those businesses will benefit -- that business will benefit from those programs going forward. V-22 has been an anchor tenant in that business, it's -- both OEM and aftermarket really helped a lot. So when they reduce the delivery rate on the OEM side -- and brought MRO down a little bit, it did hit the numbers, but we're looking forward to that coming back. And these aircraft are going to continue to fly for a long time, just like legacy F-16 and the A-10, you name it. In terms of the LEAP, we've won an 80-20 work share with GE's own incumbent gearbox plant and the relationships with GE are very strong. We looked at deliveries the past year, I think, they've approached 1,700. This year, it will be about 1,600. We discussed with GE the importance of maintaining throughput in that shop and recently reached an agreement where we'd be allowed to do that. And so even though there are deliveries of engines and there's a finished good engines at Boeing, they're letting us stay at a fairly high rate. So we're not going to see a dip in production. In terms of the longer term forecast for gears, I think it's going to be an incremental year-over-year improvement. It's not going to be the rapid swing in profitability we saw in interiors but we also don't expect further troughing.
Operator: Next question comes from Noah Poponak from Goldman Sachs.
Noah Poponak: Jim, I guess, you had the multiyear free cash flow outlook at the Investor Day a little while back. And then as you mentioned in the fourth quarter last year, you revised that. You had the product support sale and I think a few other moving pieces. I guess today, if you're raising the '25, you have this improvement in the interiors margin outlook. It seems like maybe a few other positives. Is the base case still just what you provided in the fourth quarter deck or is it something in between Investor Day and fourth quarter [deck]?
Jim McCabe: Well, the achievements we've had this year, the deleveraging to reduce interest expense, the profitability, the strong aftermarket, the settlement on interiors, all give us much higher confidence in those targets than we had before. We haven't updated those targets yet. We're in the middle of a strat planning process right now then we'll get into budgeting for next year. And normally, it would be an annual cycle where we would update our multiyear targets. But certainly, it should give everyone much more confidence that they're highly achievable. And remember, those targets don't include any capital structure improvements, because we have this 9% note that's trading at 105 right now that the no call period ends in four months. And we'll be able to look at options opportunistically because that's not due until 2028 to even further reduce interest expense. And right now, we have really more working capital than we should need long term because of some of the disruption in demand. As that stabilizes, we're going to have even more tailwinds for cash flow in the coming year.
Noah Poponak: And within the 2026 and 2028, the 4% and the 10% free cash as a percentage of sales. Can you speak at all to what would now roll into that for the interiors segment margin?
Jim McCabe: So that's the consolidated target. And I can't give any specific details of what part is interior and what part is system and support until we finish our cycle this year planning. And we'd always planned on getting equal adjustments in that business, we've now achieved them. So I think those targets are intact, but with higher confidence. And of course, we're always looking to improve them moving forward. So hopefully, you can tell from -- the numbers speak for themselves this quarter. We really hit on all cylinders and we're looking forward to following through, so we can hit all these targets and may be higher.
Noah Poponak: And Dan, you talked about the MAX and kind of ramping back up here and working through the inventory. I guess just curious your view just given how close you are to the situation of Boeing's ability to ramp back up at the total program level. On their earnings call, they, I think, were pretty cautious and sort of alluded to that taking a long time. You mentioned that a lot of the supply chain kept going. The September progress that they had shown looked pretty good. So obviously, they need to balance the right product quality and safety but they also have their own balance sheet and an entire supply chain that's waiting for them to deliver to demand. So I'm just curious from your perspective, how quickly do you think they should and could ramp back up the MAX?
Dan Crowley: So as I mentioned, I was out there in the quarter, I met with ISAM and [indiscernible] runs Boeing commercial supply chain. And I have a lot of confidence in him, he's somebody that understands the customer's perspective, having run the business development function. He lived at Spirit after some of their quality escapes to help them put in place the controls they needed. And we talked about their on-hand inventory. And I think one of the silver linings of the production pause and the strike is that a large number of commodity parts have caught up and they have robust buffer stocks. So I don't think they're going to be limited in the ramp by part availability as they were in prior quarters sort of post-COVID quarters. In terms of the workforce engagement, I'm optimistic with Kelly Ortberg's leadership style, with the favorable settlement with the IM is that they're going to come together. And in fact, my comment to Boeing was the partnership with the workforce is ultimately more important than the economics of the settlement. And I know that they are really focused on training since a lot of their employees are less experienced. And I think people who predict that they're going to struggle are going to be proven wrong. I think they're going to get back on it and they'll have better parts support. So I can't comment on the shape of that ramp other than Boeing does typically do it in steps. They don't do it in a month-over-month, they do it for a period of time. So I'd just say watch for those steps and know that the supply chain is ready to push the throttles forward.
Operator: This concludes our question-and-answer session. The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.